Alexandra Boucheron: Good morning. Welcome and thank you for joining us for the presentation of Thales 2024 Full Year Results. I am Alexandra Boucheron, Thales Head of Investor Relations. With me today are Patrice Caine, Chairman and CEO; and Pascal Bouchiat, CFO. The presentation will be followed by a Q&A session. As usual, this presentation is audio webcasted live on our webcast at thalesgroup.com, where the slides and the press release are also available for download. Finally, a replay will be available soon after the end of the event. With that, I would like to turn over the call to Patrice Caine.
Patrice Caine: Thank you, Alexandra, and good morning, everyone. So as usual, let's start with the highlights of 2024 before moving on to the numbers. And I'm now on Slide No 2. So starting with the commercial dynamics, which was outstanding across the entire portfolio. In 2024, Thales signed 6 contracts with a unit value in excess of €500 million. This solid momentum drove a new record for both order intake and backlog. Our sales growth stands above the top of the guidance range, set for this year at 8.3% on an organic basis. This performance was notably driven by strong growth in Defence. The adjusted EBIT recorded double-digit growth of 13% versus last year. And last but not least, on the financials, cash generation was excellent once again. So in a nutshell, we were able to deliver a sustained robust growth in revenue, profit and cash in 2024, achieving -- or exceeding all our financial objectives. Moreover, Thales is rolling out its strategic road map to strengthen its global tech leadership in Defence, in Aerospace and Cyber & Digital. And we are currently successfully integrating Imperva and Cobham AeroComms, which delivered an excellent performance in 2024. Finally, we launched an adaptation plan in the Space business to recalibrate our cost structure to new market conditions in civil telecommunication market and restore profitability. Let's now move to Slide No 3 to look at our financial performance with a few charts. As previously said, we have enjoyed strong commercial momentum in 2024 with our order intake up 6% organically, reaching €25.3 billion, a level never seen in the history of the group. The book-to-bill ratio is significantly above 1, reaching 1.23. Sales recorded a sharp plus 8.3% organic growth, crossing the €20 billion mark and reaching a new high at €20.6 billion. Adjusted EBIT rose by more than 13% on a reported basis while EBIT margin improved to 11.8%. Adjusted net income group share grew by 7% at €1.9 billion, and this despite higher financial expenses linked to the increased cost of debt following the 2 acquisitions mentioned previously. Free operating cash flow from continued activities increased by 9%, largely outpacing €2 billion. And last chart, the dividend. This new year of strong financial performance is leading our Board of Directors to propose at the next AGM in May a 9% increase to €3.70, 7-0. It demonstrates Thales' confidence and commitment to regular shareholder returns. Turning to Slide No 4, looking now at our extra financial performance in 2024. Indeed, I wanted to come back on the continuous progress we have made in terms of corporate social responsibility. First pillar, our strategy for climate change. Our CO2 emissions from Scope 1 and 2 decreased by 56.8% in 2024 and Scope 3 emissions decreased by 24.7% compared to 2018. The group has thus achieved its 2030 targets ahead of schedule for the second consecutive year. The absolute carbon footprint reduction targets remain relevant for 2030 in light of the group's growth prospects. A word also on the Thales Climate Passport, a training deployed in 2024 to raise employees' awareness to climate change and its impact on society. This large-scale campaign was a real success with over 67% of managers, close to 35,000 Thales employees, who completed this training in 2024, way above the 50% target set. Our second pillar aims at strengthening gender diversity where, at end of 2024, we are in line with our midterm trajectory. First, the percentage of women in senior management positions reached 21.1%. This performance is in line with the group's trajectory to reach the said goal of 22.5% by 2026. Second, the percentage of management committees with at least 4 women reached 61.5% in 2024 compared to 52.6% at the end of 2023. For 2026, we have set an ambitious target to have 75% of management committees with at least 4 women. Finally, the anti-corruption pillar, where our priority is to seek for permanent implementation of the best standards. In this area, 100% of concerned employees were trained in corruption prevention in 2024, demonstrating the group's continuous commitment to train all employees potentially exposed to risky situations on an annual basis. Also in 2024, the ISO37001 certification for anti-bribery management systems was renewed for 3 years and extended to Germany, Australia and New Zealand. Thus, in 2024, the revenue generated by certified entities represents 64% of the group's revenue versus 58% in 2023. Those achievements reflect the continuous progress in CSR performance and put us on track to achieve our midterm targets. After this short introduction, I now will hand over to Pascal, who will comment our financial results in greater detail.
Pascal Bouchiat: Thank you, Patrice, and good morning to everyone. I'm now on Slide 5. So starting with our order intake. As Patrice mentioned, we achieved again a very strong order intake level in 2024, above €25 billion, namely, €25.3 billion, leading to a book-to-bill ratio reaching 1.23 and even at 1.28 excluding Cyber & Digital with book-to-bill structurally equal to 1. So a strong performance and support to future growth as it is the fourth year in a row that our book-to-bill is above 1.2. In more detail now, this growth was notably fueled by large orders. 35 orders with a unit value over €100 million were booked in 2024. And even 6 of them with unit value in excess of €500 million. Looking by segments. 27 large orders occurred in Defence and from very different countries, reflecting the worldwide growth of the defense budget. We also enjoyed a good momentum in Space, especially in the fourth quarter with 5 large orders booked in Q4, of which 4 in OEN activities, OEN standing for Observations, Exploration & Science and Navigation. I will come back to it in a couple of minutes. Regarding smaller orders, it's worth mentioning that order intake below €10 million and between €10 million and €100 million also recorded solid growth. So overall, an outstanding performance in 2024 for order intake. Turning now to Slide 6 and our full year 2024 sales growth. As anticipated, the scope effect is significant at €649 million, resulting mostly from the acquisitions of Cobham, Imperva and Tesserent, partially offset by the disposal of the Aeronautical Electrical Systems business to Safran. Currency impact is not material. Turning to organic growth. Sales increased by 8.3% year-on-year, above the top of our guidance range. This was notably driven by Defence activities that recorded a sharp double-digit organic growth. As expected, Avionics recorded mid-single-digit growth, and Cyber & Digital posted a low single-digit organic growth. From a geographical perspective, full year '24 sales organic growth was balanced across the board, including good momentum in both mature and emerging markets. Let's now move to Slide 7 with a look at the bridge for EBIT from 2023 to 2024. Before commenting it and as you have seen, we have decided to amend the denomination of our EBIT adding adjusted before. Please note that these evolutions reflect the ESMA's latest recommendation relating to the denomination of performance measures. However, the definition of our operational profitability indicator has not been changed at all. Starting with a word on the mechanical impact on adjusted EBIT. Scope effect was positive at €162 million contributions, as already commented, primarily linked to Cobham AeroComms and Imperva. Pension costs were up by €5 million, while currency's impact was marginal. More importantly, you can see the robust progression of our gross margin up by €329 million, mainly driven by the sales volume progression in Defence. Within indirect costs, R&D expenses continued to increase and represented 6.2% of total sales at the end of 2024. As you know, R&D is a key driver of differentiation for Thales. G&A, marketing and sales expenses grew organically at half the rate of revenue. Now looking at the performance of each segments one by one, starting with Aerospace on Slide 8. Orders in the Aerospace segment came in at €6.4 billion, up 14% in organic terms. Avionics continues to enjoy a solid commercial momentum across all segments. The Space business recorded double-digit growth in order intake with a dynamic fourth quarter during which Thales booked 5 large contracts with unit value above €100 million, of which 4 related to the OEN business. Now moving on to sales that reached €5.5 billion for 2024. Here again, trends are contrasted between Avionics and Space. Avionics recorded mid-single-digit organic growth in 2024. This growth reflects the continued strong dynamics in flight avionics original equipment and also aftermarket businesses, supported by strong air traffic momentum. However, as anticipated, growth in Q4 was softer due to delays in aircraft and seats delivery that our clients are currently facing. Moving on to profitability. Aerospace segment adjusted EBIT margin remained almost flat. Avionics posted solid double-digit margin up year-on-year. It notably benefited from Cobham AeroComms' profitability in line with expectations. As anticipated and communicated, Space business posted a negative adjusted EBIT due to a continuous effort in R&D in 2024 along with our restructuring costs associated to the adaptation plan initiated in March 2024. We can now move to the Defence business on Slide 9. Order intake amounted to €14.7 billion in 2024 to reach a new record high. In 2024, Thales booked 27 contracts with a unit value above €100 million, of which 5 contracts at a unit value above €500 million. I can notably name the entry in force of the third phase of the Rafale placed by Indonesia or the order of 2 new F126 frigate by the German Navy. With a book-to-bill significantly at 1.34, our backlog in Defence reaches a new high at €39 billion, representing 3.6 years of sales and providing a very comfortable level of visibility. Sales came close to €11 billion, up 13.3% organically compared to last year. This sharp growth reflects a continued supportive environment across most business lines. The segment benefits from the continued efforts and investments to ramp up production and delivery capacity. We have been particularly active in 2024 in this field, especially regarding effectors like ammunition and missiles, but also airborne equipment or also surface radars. Patrice will come back on that point later. Please note the level of growth recorded during the fourth quarter was exceptionally high. It reflects some specific trends that are not recurring or applicable such as, for example, destocking for tactical radios in the U.S. and also the Ground Master radar business with significant production ramp-up that mostly took place in Q4 when supply chain bottlenecks were unlocked. Production over 2024 should be more linear. Now looking at Cyber & Digital on Slide 10. As you already know, 2023 figures presented on this slide has been restated to include Cyber civil activities that were transferred from different segments. Scope impact was significant in 2024, notably with the contribution of Imperva over the 12 months of the year. In the Cyber & Digital segment, sales posted a low single-digit organic growth, as expected, at 1.4%, crossing the €4 billion mark. This performance reflects contrasting trends. The Cyber business has recorded a steady pace of growth, successfully leveraging on Imperva's integrations. This more than offset Digital Identity activities that have been impacted notably by the slowdown in banking and payment solutions markets where the destocking from our customers, in particular, in North America, lasted longer than expected. It's worth noting that the digitalization of our secure connectivity business continues at a good pace. For the first time, the Digital part of this business exceeds the SIM. You might remember we talked at the Capital Market Day about connectivity solution to qualify the digital part, which comprise eSIM and on-demand connectivity platforms. In this context, the Cyber & Digital segment, posted a solid increase in adjusted EBIT, both in value and margin. The segment adjusted EBIT benefited from the contribution of Imperva that delivered a profitability above expectation. On top of that, Digital Identity showed resilience in margin, thanks to a continuous focus on pricing. As expected, cost of financial debt is significant -- sorry, I'm now turning to Slide 11, looking at items below the adjusted EBIT. As expected, cost of financial debt significantly went up due to the increase in debt linked to the acquisition of Imperva and Cobham AeroComms. Please keep in mind that in 2024, we also benefited from positive one-offs amounting to around €30 million on this specific line. The finance cost and pensions and other employee benefits went down by €27 million, more than 50% decrease due to the removal of the interest expense following the transfer of our pension obligations in the U.K. carried out in December 2023. Then taxes. As you can see, the effective tax rate stands at 20.4%, broadly stable year-on-year. As a reminder, this figure didn't embark an impact surcharge as the 2025 French budget was not adopted before the end of 2024. Let me point out that we expect for 2025 a P&L and cash impact close to €80 million from the tax implications of this French 2025 budget. Additionally, our share in Naval Group's net income, which is recorded in our EBIT, will be affected by €8 million for the same reason. Minorities have increased year-on-year, primarily due to the losses incurred by Thales Alenia Space. This leads to an adjusted net income, increasing sharply from €1,663 million to €1,880 million on the perimeter of the continued operations. The EPS stands at €9.24 per share in 2024, a 9% increase on a year-on-year basis. Now a few words on the bridge from adjusted EBIT to free operating cash flow, I'm now on Slide 12. First, a word on the usual recurring items. In 2024, CapEx investments stands clearly above D&A, resulting in a global negative balance of €138 million. This reflects the group's strategy to invest into future growth and capture market opportunities. Change in WCR, working capital requirements, represented a €26 million tailwind in 2024. Other cash items, not including the adjusted EBIT, such as cash restructuring, ForEx or IFRS 16 lease amortization, amounted to a net of €182 million. So all in all, 2024 was another year of very strong free operating cash flow generation from continuing operations that exceeded €2.1 billion. This is leading to a conversion of adjusted net income to free operating cash flow of 114%, which is quite a strong performance again on this matter. Moving now to the operational drivers of cash generation on Slide 13. So this robust performance on cash flow generation can be attributed to several factors. First, the order intake throughout the year exceeded expectations, particularly in Defence. Second, we have continued to benefit from favorable payment terms and phasing on our Defence contracts. And last, our internal CA$H! program continued in 2024 within all our businesses, addressing new untapped areas of progress. As shared at our Capital Market Day, we remind that we expect a conversion of net income into free operating cash flow of 95% to 105% on average over the period 2024-2028. For 2025, we anticipate a cash conversion ratio between 95% and 100%. Finally, moving on to Slide 14 with a quick look at the evolution of our net debt position. So Page 14, in terms of capital deployments, 2024 saw the closing of 2 significant operations, the acquisition of Cobham AeroComms for around €1 billion, on one hand, and the disposal of the Transport business on the other hand, leading overall to a net acquisition and disposal impact of plus €359 million. The dividend cash-out increased to €708 million in 2024 versus €634 million in 2023, in line with the net income progression and a payout ratio of 40%. In 2024, the cash-out related to our share buyback program amounted to €176 million. 1.2 million shares have been purchased in 2024 equivalent to 0.6% of the capital. Overall, this share buyback program has been completed end of March 2024. All in all, 7.5 million shares were purchased as part of the program, equivalent to 3.5% of the capital and in line with the targets. At end of December 2024, the group's net debt stands at just a little over €3 billion. To conclude a word on dividends on Slide 15. This new year of strong financial performance is leading our Board to propose to the next AGM a dividend of €3.70 per share, up 9% versus 2023 and in line with the payout ratio at 40%. As you see from the chart, this corresponds to a significant 20% per year increase in the dividend since 2020, reflecting the strong EPS performance. So that marks the end of this financial review. I'm now turning over the call to Patrice, who will address our strategic priorities and guidance.
Patrice Caine: Thank you, Pascal. Now turning to our strategy and outlook for 2025. On Slide 17, here are the 4 strategic priorities we intend to focus on in the near term, which are fully in line with what was stated during our November 14 Capital Markets Day. So first priority, ramping up our capacity. So to address the strong underlying trends in our markets, one of our primary focus in recent years, which will continue in 2025, has been to increase our capacities. And this includes, number one, production capacities; and number two, ensuring we have the right talent to seize market opportunities. Second priority, restoring Space profitability. A key priority for the group this year is to focus on leveraging the Thales Alenia Space adaptation plan launched back in March 2024 to restore profitability. Third priority, maintaining our innovation and R&D leadership to increase differentiation as these capabilities remain major drivers of competitiveness in our markets and are fully part of our DNA. Lastly, our fourth priority for this year will be to continue delivering strong value creation from our recent acquisitions, Imperva and Cobham, which have both undergone successful integration so far. So first, the capacity ramp-up, and I'm now on Slide 18. As presented during our Capital Markets Day, Thales is well positioned in fast-growing markets with long-term visibility. Our markets are indeed fueled by sustainable underlying macro trends like the geopolitical situation for our Defence business, leading to increased defense budget to build credible major capabilities or like the continuous and steady growth of air traffic forecasted for the next decade as well as OEMs' huge backlog for our Avionics business. As a consequence, many of our products are in high demand. To respond to this trend and serve our customers, we have taken actions, both internally and externally, to accelerate production, internally by investing in some of our production sites and recruiting the right talent; externally by supporting our supply chain and mitigating potential bottlenecks. Just to give you a few examples. These capacity expansions have already enabled or will enable in the coming months to increase our Rafale equipment, our defense radar or our SATCOM cockpit system production capacity threefold and multiply our effector production by 4. But as I mentioned earlier, ramping up our capacity also means ensuring we have the right talent in place to seize market opportunities. Thankfully, our strong brand awareness, which has made us a very attractive employer in the past years, led to over 1 million applications in 2024. Having successfully onboarded over 8,100 people in 2024 and upskilled all our teams, we are now experiencing lower turnover rates, which are back to pre-COVID levels. Now focusing on high expertise roles, we are fully on track with our recruitment target and expect to complete around 8,000 recruitments in 2025. Now moving on to Space, Slide 19. As you all know, we have been implementing since March 2024 the transformation plan of Thales Alenia Space telecoms business line in order to optimize its structure, maintain its leadership position and restore its profitability. This plan mainly consists in the redeployment of 1,300 positions across the group with no forced departure. We are currently right on track with around 50% of positions already redeployed by end of 2024. Hence, we will now seek to leverage this plan to drive profitability recovery with key milestones expecting operating breakeven in fiscal year 2025, finalizing adaptation plan by early 2026 and reaching 7%-plus EBIT margin in 2028. A key aspect of Space profitability recovery will also lie in delivering on promising business growth perspectives. That has, indeed, won several significant projects in the last months, notably in Observation and Exploration with flagship projects like Argonaut lunar lander for cargo delivery, Airlock module for the lunar Gateway or Copernicus CO2M payload development, to name only a few. And at the same time, we see the demand in telco GEO stabilizing. Third priority regarding our innovation leadership, Slide 20. Maintaining strong R&D capabilities is, indeed, key to bringing pioneering and differentiating products to our customers. In the end, this is why our customers prefer us over the competition. We are already a recognized leader in R&D with a critical mass, enabling us to anticipate the next technological disruptions. And this effort has not gone unnoticed as our 11th mention in Clarivate Top Innovators ranking show. To give 2 concrete examples of this leadership and illustrate on how it enables us to provide the best for our customers. We have launched our data risk intelligence solution the first solution combining Thales and Imperva best technologies for better data protection. And second example, FLYTEDGE, a revolutionary connected cloud-based in-flight entertainment system already selected by some major customers like Delta in the U.S. and Qatar Airways. And now focusing on AI, which is already a reality for Thales. So we launched in 2024 our cortAIx AI accelerator, equipping it with industry-leading capabilities, 800 AI experts by the end of 2025 and around 100 PhD students, Europe's No 1 patent applicants in the field of AI for critical applications, bringing to markets over 100 products and services with Thales AI. And to give you 2 simple examples of how AI is embedded in our products to the benefit of our clients. First, our GM200 radar is enhanced by AI to safely identify even the smallest threats on the battlefield like very small drones. Second, our development in the field of Maritime Mine Counter Measures have led to creating the world's first autonomous drone system for mine counter measures, which integrates AI. Moving now to Slide 21. Finally, Thales will focus in 2025 and continuing to deliver strong value creation from recent acquisitions. Imperva and Cobham AeroComms are already providing strong operational performance, thanks to Imperva's integration progressing as planned and the ongoing merger of commercial forces and the success of Cobham AeroComms' light integration. Focusing on M&A, we are still open to selective and pragmatic M&A opportunities concentrating our attention on clear strategic fundamentals, strong investment thesis and strict financial criteria. Last slide, Slide 22. Well, all these priorities will bring Thales to pursue ambitious financial targets in 2025: a book-to-bill ratio above 1, organic growth of 5% to 6% or €21.7 billion to €21.9 billion in sales and 12.2% to 12.4% adjusted EBIT margin. Many thanks again for your attention, and we'll now be pleased to take your questions.
Operator: [Operator Instructions] The questions come from the line of Chloe Lemarie from Jefferies.
Chloe Lemarie: I have 2 questions, if I may. The first one is just on the enablers of the strong Defence performance in Q4 because I don't think I can recall a quarter growing this fast in the division. Also when you commented on Q3 results, you didn't seem to expect such a strong acceleration. So just what surprised you in the capacity unlock in Q4? And how do you think this carries on going forward? And the second is, can you talk about the margin you expect by division for 2025, in particular, the margin recovery in Aerospace, given Space should be breakeven this year?
Pascal Bouchiat: Okay. So maybe I will start so on Q4. First -- and I keep saying that looking at our financials just on a quarterly basis might not be the best way to assess or mid or long-term overall progression in terms of growth and profitability. Of course, we've got some volatility. And of course, this level of volatility is still more, I would say, obvious as we go from the end of a specific year and the entry in another year. I mean, across quarters in the same civil years is probably less apparent. But of course, and I do welcome your questions about why is it that in Defence your growth in Q4 was so strong. So as I started mentioning in my financial review, a few points on this matter. First, it is true that we managed to deliver some equipment that were on our balance sheet are in some countries. And probably the good -- the best example of that is our clients in the U.S. asking us to deliver a significant amount of radios that we add on the shelf that we are ready to be delivered, but where we're expecting -- we are waiting for the clients to give us the green light to deliver this -- those radios and it can go pretty quickly. This is more what I would call being some kind of cutoff because it shows that our intense was -- not our intent, but our expectations was to deliver this stock of radios pretty regularly across Q4, but also the first half of 2025. Another example that I mentioned also is on our radar production, in particular, ground radar, the famous Ground Master family, which is, by the way, so successful, where we went through a number of production difficulties across 2024 and this really being the outcome of difficulties in the supply channel. And you probably remember that I commented many times at our call some difficulties for us to keep producing with the supply chain having some up and down, stop and go. This creating some disruptions overall in our own production units. And it was that in Q4 we got a pretty good delivery from the supply chain and we managed to deliver a level -- a number of radars that was really above our expectations. So you see here I'm giving you 2 examples where it's more like not a one-off, but more equipment, products that we have in the past considered that they would be delivered progressively until mid-2025. So this is good news, but again this is why we got this level of growth. But Patrice?
Patrice Caine: Yes. On margin expansion for 2025, as you know, we do not disclose very precise figures, let's say, per division, but I can give you some qualitative elements that should give you comfort looking at this margin expansion at group level from 11.8% in 2024 to 12.2%, 12.4% as we've just shared a few minutes ago. Number one, in the Aerospace division, clearly, the space recovery should be -- will be a driver of improvement in terms of margins for 2025, definitely plus, of course, the full contribution of Cobham AeroComms in our financial for 2025. That's the 2 main drivers or explanations of this future margin expansion. And number two, looking at Cyber & Digital, it's exactly that it is the concrete illustration of what we said during the Capital Market Day when we explained that this division would reach 16% to 17% EBIT by 2028. So looking at starting point, 2024 and the, let's say, endpoint 2028, this is another step up in 2025 that we foresee for this segment or this division. Last but not least, as you know, we do consider that in Defence, we are already best-in-class in terms of profitability level, around 13%. So this is something that we confirm as should be stable around this 13% figure. So you have the different moving piece that should give you comfort on this margin expansion for 2025.
Operator: The next question comes from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: I had 2 questions. One, it was in the context of the current discussions of increasing defense spend and whether you could give some sensitivity to your -- the guidance you provided at the CMD, how you are looking at the targets that you presented to us with a higher defense spend across Europe. And the second question was around the time to market. Thank you for the slide on the production acceleration, very interesting. The question is in your portfolio of defense product, what are the products there where you can -- I mean, where you can accelerate actually the time to market? Is it air defense? Is it a radar system, as you've just mentioned? And this in the context, quite obviously, of the supply chain bottlenecks that you had because my understanding is that you may get orders on the products that are easily available or faster with that one your competitors can do.
Patrice Caine: Could you take the demand?
Pascal Bouchiat: Okay. So on the first point, which is I don't know whether we can call it the elephant in the room, but what has been announced over the last weekend and some very strong statements about the need, in particular, in Europe, really could change gears in terms of a level of defense spending. Of course, and I guess it was quite clear at our Capital Market Day our trajectory for growth in Defence. And I remind you that we mentioned 6% to 7% as the average organic growth for Defence over the 2024-2028 period. This level, of course, being based what was in the market at that time. And in particular, France based on the 2024-2030, loi de programmation militaire, foreseeing a rise in defense spending, but a rise that was more something like, let's say, between 5% and 7% per year. And not, of course, reflecting the latest statements including from President Macron saying that -- not just President Macron, but across the board where, I guess, that you heard some very strong statements, the need to move from 2% up to 3.5%. So once again, our trajectory and once again midterm trajectory is not based on this type of acceleration, it's much more based on what was known at that time. And now would it change 2025? Probably no, because probably 2025 in terms of level of growth of Defence will be delivered essentially from our backlog. And now of course, if those statements are confirmed being -- when I say is confirmed, it's moving from statement to orders. So we are keen to welcome orders reflecting this type of pretty strong statements. And then, of course, we'll accelerate, which is probably a good transition for Patrice to comment on.
Patrice Caine: Thank you for passing me the baton, Pascal. So look, Christophe, so not quite -- it's a bit difficult to answer, I would say, with a single sentence to your question because we have such an extensive portfolio of equipment and products and solutions that each of them is a bit different in terms of lead time or time to market and whatsoever. Now what I can say is that what we have demonstrated up to now is our ability to adapt fast -- very fast to the demand. When you look at the few examples that we have shared with you this morning on this slide dedicated to capacity ramp-up, it has shown or demonstrated that in a couple of years, 2 years -- let's say, 1, 2 years, we have been able to grow the capacity, production capacity or the output capacity, quite fast. So in the future, if we have to continue to do so, it's our job, if I may, to go one step further in terms of industrial or engineering capacity and potentially hire additional talent if we need to also have even more engineering force within Thales. Now to conclude on this point, what we do need really to trigger another step is additional contracts. We're not going to build capacity for the sake of saying that we are prepared to produce more. And that's probably where there is a gap between political statements, that there is a strong willingness in Europe to spend much more, much more and much more. Now the proof is in the pudding where the contracts will come, we will be ready, but it's no use to be ready too much in advance. So here is the delicate balance that we have played quite smartly up to now that we intend to continue to play smartly in the future. And it's more -- this part, which is the more structuring for our future than the time to market of each and every product that we have in Thales.
Operator: The questions come from the line of Ben Heelan from Bank of America.
Ben Heelan: I hope you're well. First question for me is kind of similar to that question there, but more geared towards capital allocation. Obviously, things have moved very quickly over the last couple of months since your CMD, and Patrice, the deals that you've done over the last 1.5 years have been around Cyber, they've been Cobham Aero. Do you think there's an opportunity to look more at Defence assets on the continent? Or do you see any kind of shift in priorities in terms of how you're thinking about M&A over the next couple of years, given what has happened? Second question on Space. Obviously, you've talked about the profitability improvement, but there's obviously these discussions ongoing with Leonardo and Airbus. Just if you could give us a bit of an update as to anything that's happening there. But also just what do you actually want to achieve? Like what is like a good outcome for you in those discussions? And then a third one and final one is just on supply chain in Defence. I think, Pascal, you highlighted an improvement in supply chain situation in Q4. PCBs have obviously been a big area of pressure for you over the last couple of years. Do you think that, that situation is now resolved and PCB flow in France is kind of pretty stable and improving?
Patrice Caine: Thank you for your questions. I will start and Pascal will take on after me. So on capital allocation, as you know, but it's always worth repeating it, our priority is really to deleverage the group as we said during the Capital Markets Day, which does not exclude M&A, but again, the main focus is to continue to deleverage the group. Now in terms of potential acquisitions, if it makes sense, of course, we do not exclude Defence -- or I should say, positively, it includes potentially Defence companies, though acknowledging that in Defence the game is more, I would say, constrained. Typically, government's green light is necessary and so on and so forth. It's clearly less constrained in the Anglo-Saxon world versus the Continental European world. So you see my answer is why not. But still, this is something which is much more, I would say, complex, constrained that typically Cyber where we can, I would say, move freely. Of course, there is always a strong financial rationale, a strong strategic rationale, but no or minimal governmental, I would say, implication. Moving to Space. I'm not going to be very talkative as usual, if I may say, in particular, on this point. As we shared with you, frankly, we did confirm that, yes, we have some preliminary and explanatory discussions that are nonbinding, by the way, with Airbus along with our co-shareholder, Leonardo. That's a fact. Now we need to work. And typically, to answer your good question, does it make sense for Thales? And for the moment, I don't have the answer. We need to work. It's a complex -- a potentially a complex scheme, if I may say. It's a complex industry as well. So it's really too soon to say either it is good or bad for Thales and for Thales shareholders. But of course, if and when we have a, I would say, a clear view and a positive view, we'll come back to you and share with you the details of this -- of any potential move in this domain. Hence, the fact that regularly, we say that in the meantime, we focus on our adaptation plan to recover a decent less profitability by 2027, 2028.
Pascal Bouchiat: Maybe, Ben, on your last question about supply chain. Good that you asked this question because I don't want to consider that everything is fixed from a supply chain perspective. Here, we are talking about more midterm type of topic. Even though we have seen the situation improving in 2024, we cannot say at this point that it is fully fixed, in particular on PCBs. There is still today quite a significant shortage in Europe, in particular in France, between the level of offer and the level of demand, which means that there will be a need and there is a need for investments on this field. By the way, Thales is investing on this matter. And for me in terms of fixing this type of challenge, it's more -- the horizon of time is more a few years than just a few months. So overall, situation improving, still not fixed and we'll need to continue working on the topic in the next few years. Here, again, also depending upon the level of growth. But this is really an area where we need to keep spending management time to keep putting it under control. Now you have seen that it has not prevented us to grow above expectations in 2024. I can tell you that it has been a pretty bumpy road. This is also a comment that I've made in the past with a very strong level of mobilization of our teams, having to cope with stop and go, as I explained, so creating a bit of disruptions in our own production facilities. But at the end of the day, we managed to deliver and we'll keep working very hard on this quite important topic of supply chain.
Operator: And the questions come from the line of David Perry from JPMorgan.
David Perry: So 2 questions. The first, just coming back to French defense spending. I just really appreciate some color, some of your wisdom. We don't get great reporting here in the U.K. on France. But when I look at the last week or so, real action in the U.K., 2.5% of GDP, huge press coverage of Germany talking about a €200 billion or even €400 billion special defense fund. And I know you made the comment earlier about Macron statement, but statements like that are very easy to make. I'm just wondering what is actually happening in France on a concrete level? Could you just sort of help us understand a bit the political situation and whether we are going to see an increase in spending in France? Well your, best take on it would be really helpful. And secondly, on Cyber, I know you're planning to report audited numbers going forward. But could you give a bit of color on what happened to organic growth for Cyber in 2024, please?
Patrice Caine: Shall I start with the first one, Pascal? Thanks for your 2 questions. I'll try to help. Looking at the different examples that you have taken, U.K., Germany and France, maybe I will surprise you, but for me these 3 cases are very similar. We hear bold statements. Now again, the proof is in the pudding whether a law -- budget law will change positively or not the already existing trajectory. Looking at the U.K., if my understanding is correct, the 2.5% has been articulated by the Prime Minister with a time frame of 2027, meaning that for 2025, no change. And we know that the situation is what it is in the U.K. in terms of public spending in general, and in particular, in defense. And we have seen many strategic different reviews one after another without any big change again in the spending trajectory. Germany, it's very similar. This special defense fund has been announced or has been said. Now there is no majority, no government in Germany. So we will see. And I would be more than happy to see Germany spending more, of course. It's not at all -- it's not a pushback, it's just an observation of facts versus statements. And last but not least, France is very similar to this situation. Macron is also quite bold recently -- more than recently, by the way, in his statements about the fact that we, collectively, in Europe we should spend more. Even in France, we should spend more. But still, the LPM that has been voted in 2022 now has not changed. By the way, this is positive. It's a good, if not very good, LPM. Now will there be another upside or another step upwards that will be put in place by the French government? Maybe yes if we listen to the political official statements. But you know you Thales very well, we love also facts and figures and we'll be able to revise our forecast when and if or if and when these statements will become reality. And when I mean reality, I mean, new money or additional money and additional contracts. Cyber, Pascal?
Pascal Bouchiat: So overall, on Cyber, maybe having a bit of a broader perspective, David, on one side, Cyber delivering quite a good level of growth. Pretty much in line with what we keep saying, high single digit. And this featuring -- this taking into account both product, security growth, organic growth, service -- premium services organic growth and also Imperva's organic growth as compared to 2023. And this allowed to compensate what has been more difficult, let's be clear. It is about Digital, and in particular, in the banking market where we kept facing in H2 this continued destocking, particularly in the U.S., which resulted in this overall banking market reporting a significant drop in revenues against 2023. This reflecting a loss in volume -- or less as a loss, a drop in volumes, not a loss in market share. But this showing a drop in market because of the level of stock that has been accumulated. We are expecting this to come to an end mid-2024. It has not happened. So it continued until the end of 2024. We start seeing a situation, which is improving on this matter, but we are still pretty vigilant on this matter. As I mentioned, for us, preserving our margin and focusing on pricing. So you see, I mean, two -- this is what I mentioned in my speech, contrasted situations between Cyber and Digital, in particular, in particular, banking. Where we've seen better situations is on connectivity. And in particular, as I mentioned, the weight of growth on eSIM and demand connectivity was pretty good. And for the first time, this business outpacing the revenues of the removable SIM business.
David Perry : Can I just follow up? Because on Cyber -- and thank you for the color, the high single digit. I mean, you were pretty clear at the CMD you're aiming to follow double digits over the 5-year period. And often, these growth rates are higher at the beginning rather than at the end. So are you happy with the Cyber print? And what is the -- what are you seeing at the start of this year, please?
Pascal Bouchiat: Probably a bit too early. I think you need to be a bit more patient. So let's look at Q1 figures that we will be reporting in April where we'll split the revenue between Cyber and Digital. At this point, I need to say that I didn't have an updated view on this matter.
Operator: The questions come from the line of Ian Douglas-Pennant from UBS.
Ian Douglas-Pennant: I've got echo on the line. I hope you don't…
Patrice Caine: That's okay.
Ian Douglas-Pennant : So my first question, so you're reiterating the comment for 6% to 7% Defence growth medium term and suggesting that, that wouldn't be changed in 2025. Can I therefore confirm that, that is indeed your expectation for 2025 for D&S please? And then secondly, could you help us understand within D&S the split between long- and short-cycle products here? I'm just thinking that the radio must be -- radio has delivered very late in the year according to any budget that needs to be used up. Must be a very large line item for you to drive the difference between 6% to 7% and the 13% that you delivered last year. Maybe you could just help us understand the difference, how important short- versus long-cycle products are for you?
Pascal Bouchiat: Okay. So on Defence growth in 2025, yes, the 6%, 7% is pretty much what we have in line for 2025, what I call a mid-single-digit plus is our today best expectation for organic growth in Defence in 2025 versus 2024. So yes, this long-term view, as I mentioned earlier, based both on our backlog and the level of increase in defense spending in line with what we had in mind as we communicated at our Capital Market Day in November. Now in terms of short cycle, long cycle, overall, our business on defense is more a long cycle type of business. Now it's true that the more we see our clients asking us to deliver on existing products, existing products meaning products that have been developed where there is no need for developments, for engineering. This is really the development phase, the R&D phase, the engineering phase that takes time when it comes to develop a new type of product, we are talking about years of development. When it is to deliver more on existing products like our current generations of Ground Master or what I mentioned in terms of ammunitions, missiles that have already been developed, here I'm not saying that this is really a short cycle, but there is no need for development. You might have to deal with obsolescence in some cases and make some kind of developments to manage obsolescence. But overall, we are talking here on cycles that are much shorter. And then for us, it's a question of getting the right level of orders and us investing in terms of production capabilities as we did and as it was presented in the slide that Patrice presented where we mentioned our ability in the last 2, 3 years to increase quite significantly our existing -- the delivery of existing products. So you see a bit of a gap between our existing product and new type of development -- new time of product that requires a significant amount of engineering to be developed. Of course, the more we can sell of the first type of category, the best it is for us because, first, it goes quicker. And second, of course, the level of risk as you manage the increased delivery of existing product is not as high as it is when you consider new developments.
Operator: And the questions come from the line of Herve Drouet from CIC Market Solutions.
Herve Drouet: Yes, 2 questions as well on my side. First one is regarding execution and capacity increase. Just want to confirm on your side, when you say we are going to increase threefold capacity on the different product items you mentioned, is it the time frame you are talking? Is it really a 1-year or a little bit more than 1-year time frame? And the second question is let's imagine we are in a scenario where there is a real push where political statement is followed by fact and, let's say, we moved to even 3.5% of GDP in the European defense in the 2, 3 -- let's say, 3 years' time frame. That will mean, I guess, 40% above what is the expected current level towards the 2.5%. So the question will be if you will have to increase your delivery and capacity at least by an additional 10% a year, do you believe you will be quickly in a situation where you will be able to do it? Or do you need some partnership with other industrial sites to make it happen? And if that happens, what will be the investment you will need to do to increase your industrial production to meet that, let's say, imagine 3.5% GDP spending, for example, for the French military defense, which if we are in that scenario.
Patrice Caine: Herve, I will share the answer with Pascal. Perhaps your question is of twofold. Number one is really what we have presented in terms of capacity ramp-up. What you see on Slide 18, this is done. So this is not the future. This is the present. So this is what we have achieved over the recent years. By the way, a sub-question was, did it take 1 year or more? Clearly more, 2 to 3 years, depending on the products, of course, and the complexity. It's us -- it's not only us, it's also the supply chain. We need as well the supply chain to be able to ramp up, meaning to invest and to hire, clearly. So it's a collective game, it's not only Thales with our own means and resources. But again, I do confirm that what you see on this slide this is done. Now for the future, it's a bit of a science fiction. I mean, we don't know. As I said earlier, we have always managed, and again, that's what you can observe looking at Thales to increase or to invest in new proportion to follow the pace of the market and the contracts that we got. So if, clearly, there is additional need and contracts, again, I'm talking about contracts. And you know that, by the way, even though a budget is voted, it takes a bit of time from every MOD in the world to transform a budget into contracts. It's not something that you buy on the shelf. It's not like you're an Apple store when you go and buy your iPhone. Those contracts are as well complex. It would take probably at least 2 years. I mean, budget plus contracts, new contracts, 2 years. So we have time to get organized to the required additional capacity to serve additional needs and contracts if they come. But again, we are clearly waiting from moving to statements -- from statements, sorry, to actions or concrete steps. It's not because we are prudent. It's not because it's our experience that led us to say, be careful, guys. We really need now to see concrete outcomes. The statements are positive, of course, and we are not discarding that and we are not pushing back on the fact that there is strong tailwinds in Defence, strong -- very tailwinds. But to transform these tailwinds into real money, it takes a bit of time.
Herve Drouet : Okay. And maybe just a quick follow-up. So let's imagine you have to increase on average by 10% of volume, generally, in terms of investment on your side, how quickly, firstly, you can make it happen if we are in that scenario in your view? And then what is the investment you will need to plug in to make it happen? If you can give a bit of a sense if we go with that scenario.
Pascal Bouchiat: I understand your question, Herve, you would like us to give you just a magic number, magic figures. To answer a very broad and complex question, which is extremely valid, of course, but you are asking us to provide magic numbers. But in reality, that is pretty complex. If it would be plus 10% -- by the way, I don't know whether your 10% is 10% per year. So an additional 10% growth per year, which is quite different from 10% and then flat -- and then flattish. So 10% is not something that is probably so difficult to assess to meet in terms of getting more capabilities. A 10% per year would be quite a different challenge, of course. Now of course, all of that will require investments. By the way, you have seen our increase in investments in capital expenditure in the last few years. For me, it's not that much the level of CapEx, it's probably more about cash flow generation. My belief is that in case we would face this positive level of demand, growing demand, going further and going quicker than what has been presented so far based on what Patrice mentioned, getting real orders for our clients, then my view is that it should be positive in terms of cash flow generations or at least in terms of conversion ratio. I wouldn't see this type of investments deteriorating our overall cash conversion ratio. So it would be positive from an EBIT standpoint and it would be positive from a cash flow generation standpoint in terms of absolute level. So this is what I can answer. But of course, this is more of a qualitative answer to qualitative questions, which is quite difficult to answer at this point in time. So you need probably to be also a bit more patient. All of that is pretty positive from a business standpoint for Thales. All of that is providing even more positive long-term visibility. Now it's more about a ramp-up that is today -- discussed today. And once again, it's a valid question, but the answer is not that easy. However, you have seen our ability and it is to grow our production capacity pretty quickly. I mean, 2 to 3 years, to triple the production of radar, for instance. It is -- in my view, it's pretty short considering the complexity of the supply chain and our own ramp-up overall at our plants.
Operator: We are now going to proceed with our last question. And the questions come from the line of Ross Law from Morgan Stanley.
Ross Law: So just to come back on the sales guidance, you're maintaining the outlook for Defence at 6% to 7% in 2025. So what's driving the group guide to be 5% to 6% organic, which is below your medium-term guide of 5% to 7% organic. And then secondly, just a quick modeling question for Space. What was the absolute EBIT level in 2024? I think you were initially targeting negative €50 million.
Pascal Bouchiat: Okay, Ross. So overall, on group guidance, 5% to 6% with, yes, I mean Defence 6% to 7%. So overall how we see -- overall, we see our Avionics business probably mid-single digit. We see our Space flat to low single digit. And we see our Cyber & Digital business probably mid-single digit. And this is how you come up with 5% to 6% as we speak today. And of course, we will discuss this matter midyear as we publish our H1 figures, first point. Second point on Space with overall level of restructuring that in 2024 has been close to €40 million. Overall, Space restructuring costs in 2024 at €40 million. Absolute level of negative EBIT for Space in 2024 has been close to minus €65 million.
Operator: In the interest of time, this concludes the question-and-answer session. I will now hand back to Patrice Caine for closing remarks.
Patrice Caine: I will be very short for closing remarks. Thank you very much for your attention, we will be pleased, of course, to meet you in the following days and weeks during our upcoming road shows. Have a good day. Thank you very much. Bye-bye.
Pascal Bouchiat: Thank you. Bye-bye.